Operator: Good morning. Thank you for attending today's conference call. My name is Jerry, and I will be your moderator today. [Operator Instructions] I would now like to pass the conference over to our host, Emily Lombardi.
Emily Lombardi: Good morning, and welcome to NeueHealth's Second Quarter 2025 Earnings Conference Call. As a reminder, this call is being recorded. Leading the call today are NeueHealth's President and CEO; Mike Mikan and CFO, Jay Matushak. Before we begin, we want to remind you that this call may contain forward-looking statements under U.S. federal securities laws. These statements are subject to risks and uncertainties that could cause actual results to differ materially from historical experience or present expectations. A description of some of the risks and uncertainties can be found in the reports that we file with the Securities and Exchange Commission including the risk factors in our current and periodic reports we file with the SEC. Except as required by law, we undertake no obligation to revise or update any forward-looking statements or information. This call will also reference non-GAAP amounts and measures. A reconciliation of the non-GAAP to GAAP measures is available in the company's second quarter press release available on the company's Investor Relations page at investors.neuehealth.com. Information presented on this call is contained in the earnings release we issued this morning and in our Form 8-K dated August 7, 2025, each of which may be accessed from the Investor Relations page of the company's website. With that, I will now turn the conference over to NeueHealth President and Chief Executive Officer; Mike Mikan.
George Lawrence Mikan: Good morning, everyone, and thank you for joining NeueHealth's Second Quarter 2025 Earnings Call. NeueHealth is pleased to report another strong quarter of financial results as we continue to build on the momentum we have established across our business this year. We continue to drive adjusted EBITDA profitability, achieving $19 million in the second quarter contributing to a total of $32.5 million of adjusted EBITDA for the first half of the year. We believe these results demonstrate the continued success of our focused business. Our strong fundamental execution and our disciplined approach to driving long-term profitable growth. NeueHealth was founded on the belief that all consumers deserve high-quality coordinated health care and we continue to expand and enhance our value-driven consumer-centric care model to fulfill this mission. Our care model is built to serve a diverse set of consumers across the ACA Marketplace, Medicare and Medicaid. It is grounded in the power of ongoing trusted relationships, and it prioritizes aligning the interest of consumers, payers and providers to create a seamless, more coordinated care experience for all. We believe our model aligns with where the healthcare industry is moving, supporting the continued shift to value-based care and focus on creating a better consumer experience. Overall, we believe our model places us in a strong position to continue to deliver value to consumers, payers and providers across the healthcare industry for years to come. We believe one of our core capabilities, our ability to serve a diverse population base, agnostic of product category, individual needs or circumstance, helps to protect us from the challenges and the uncertainty that may arise from market trends impacting any given product area and provides multiple avenues for the company to drive future growth. Through the second quarter this year, we have seen strong results in all key product categories we serve, leading to 45% aggregate growth in the number of consumers served over second quarter last year. Starting with the ACA Marketplace. As of the end of the second quarter, we were serving 485,000 ACA Marketplace consumers in our own clinics. This year, we have driven differentiated results for this population, performing meaningfully better than the market with regards to medical loss ratio. With a strong focus on placing the consumer at the center of everything we do, we are committed to empowering our ACA Marketplace consumers to take an active role in their health by forming strong trusted relationships and emphasizing the importance of preventative and proactive care. As an example, in June, we partnered with Florida Mobile Mammography to offer convenient on-site mammogram screenings to consumers in surrounding neighborhoods. By bringing care directly to the community, we met consumers where they were educating them on the importance of preventative screenings and proactively managing their health on an ongoing basis. We are planning to build on the success of this event by offering more on-site mobile mammogram screens later this year, and we look forward to expanding even further in 2026. This is just one example of our local consumer-centric approach and our commitment to empowering everyone to take an active role in their health. Our senior care business continues to grow and drive strong performance, serving 65,000 consumers across Medicare Advantage, ACO REACH and MSSP at the end of the second quarter. As a part of this growth, beginning this summer, our Central Florida Clinics are collaborating with Walgreens to expand access to care in the community. Specifically, we have begun operating clinics inside select Walgreens locations starting with two sites opening in Davenport and Orlando, Florida. These in-store clinics offer a range of services, including primary care, chronic condition management and dermatology. This is an exciting collaboration, making it easier for consumers to access the health care services they need and reinforcing our commitment to making high-quality care convenient for all. Turning to Medicaid. We are currently serving 144,000 Medicaid consumers, with the majority in our provider enablement business. In this business, we are focused on forming strong partnerships with provider groups to drive differentiated results in performance- based arrangements. We believe our provider enablement business provides a solid foundation for our company to continue to grow and we see strong opportunities to partner with federally qualified health centers and other provider groups to expand the Medicaid population we serve in the future. Our data and analytics capabilities underlie our strong performance across product categories, and we are focused on evolving and advancing these capabilities into an end-to-end value-based care enablement platform called NeuePulse. Created on the front lines of care delivery by our own physicians, NeuePulse is powering our business into the future, integrating population health tools, care delivery solutions and administrative functions into one comprehensive platform. Through streamlined data and insights, NeuePulse enables smart patient engagement and gap closure as well as managing administrative tasks by streamlining workflows and minimizing manual functions. In addition, NeuePulse will present guideline- directed value-based clinical pathways at the point of care to support providers in making timely data-informed decisions and standardized care plans. Importantly, we believe NeuePulse will uniquely align the financing and delivery of care, eliminating the need for preauthorizations. We believe NeuePulse unlocks exciting future opportunities for our company and we look forward to continuing to advance this platform as a core component of our model, fueling our future performance, growth and success. Overall, I am proud of how we are positioned entering the second half of the year. We have set a solid foundation to continue to evolve and advance our model, build on the payer and provider partnerships we've established, bring high-quality coordinated care to more consumers and evolve our data and analytics capabilities to meet the industry's changing needs. As I've mentioned previously, in December '24, we announced that we entered into a definitive agreement to go private led by an affiliate of one of our largest investors NEA. We anticipate the transaction closing in mid to late 2025, pending satisfaction of necessary closing conditions. For additional information regarding the proposed transaction, please consult our filings with the SEC. I'll now hand it over to Jay to provide additional details on our second quarter financial performance.
Jay Stephen Matushak: Thank you, Mike, and good morning, everyone. I'll now discuss our second quarter performance for our continuing consolidated NeueHealth Business as well as each of our continuing NeueCare and NeueSolutions segments, then I will review our balance sheet. GAAP financials are included in our press release and 10-Q, contain results that include our discontinued operations. NeueHealth consolidated revenue for the second quarter was $209.1 million, slightly lower than prior year due to a shift in membership mix away from ACO REACH to other lines of business. Second quarter gross margin was $62.7 million. For the sixth consecutive quarter, we achieved adjusted EBITDA profitability, driving $19 million of adjusted EBITDA in the second quarter. We served 694,000 consumers across our business in the second quarter, an increase of approximately 45% compared to second quarter last year. This reflects the strong consumer satisfaction we continue to drive through our tailored and personalized approach to care. In our NeueCare segment, revenue was $91.6 million in the second quarter and NeueCare operating income was $23.2 million. Through our clinics, we served 504,000 value-based consumers as we continue to focus on forming ongoing relationships with each individual we serve and empower them to take an active role in their health. Turning now to our NeueSolutions segment, which consists of our provider enablement business as well as our participation in ACO REACH and MSSP. In the second quarter, NeueSolutions revenue was $120 million with operating income of $2.6 million. In our provider enablement business, we served 148,000 consumers in the second quarter and through our participation in ACO REACH and MSSP, we are serving approximately 42,000 consumers in 2025. We continue to focus on expanding and enhancing our scope of provider enablement tools services and capabilities to position our owned and affiliated providers to succeed in value-based arrangements. I'll now review our balance sheet. As of June 30, 2025, we had $234.4 million in total cash and investments, including amounts in our regulated entities. Our nonregulated cash and short-term investments were $145.5 million at the end of the second quarter including $38.2 million of restricted cash and investments. Mike, I'll now turn it back over to you for some closing comments.
George Lawrence Mikan: Thank you, Jay. As you've heard today, we delivered strong results in the second quarter across all areas of our business, achieving adjusted EBITDA profitability for the sixth straight quarter. Our strong financial performance gives us confidence that we are well positioned in the market, and most importantly, delivering value to consumers, payers and providers across the industry by creating a seamless, more coordinated care experience for all. Our company is on a positive trajectory, and I'm excited by the steps we are taking to evolve and advance our capabilities as we continue to transform the health care experience. We have made tremendous progress over the past few years, and I believe we are just getting started. I'm looking forward to building on our successes and continuing our momentum for the remainder of 2025 and beyond. Thank you to our entire team for your contribution this quarter. I am excited for our future. That concludes today's call. Thank you for joining and for your interest in NeueHealth.
Operator: Thank you. That concludes today's call. Thank you for your participation. You may now disconnect your line.